Operator: Good day, ladies and gentlemen, and welcome to the fourth quarter 2010 Abiomed Inc earnings conference call. My name is [Erika] and I will be your coordinator for today. (Operator Instructions) I would now like to turn the presentation over to your host of today's call, Ms. Aimee Maillett from Abiomed Corporate Communications Department. Please proceed.
Aimee Maillett: Thank you, [Erika]. Good morning and welcome to Abiomed's fourth quarter of fiscal 2010 earnings conference call. This is Aimee Maillett of Abiomed’s Corporate Communications Department. I am here with Mike Minogue, Abiomed Chairman, President and Chief Executive Officer and Bob Bowen, Vice President and Chief Financial Officer. The format for today’s call will be as follows. First, Mike will provide you with strategic highlights for the fourth quarter. Next Bob will provide details on the financial results outlined in today's press release. We will then open up the call for your questions. Before we begin discussing the fourth quarter, it is necessary to remind you that during the course of this call, we will be making forward-looking statements including statements regarding future financial performance, product development efforts, Abiomed's strategic operational initiatives, market response to our new products, our progress towards commercial growth, and future opportunities. Abiomed's actual results may differ materially from those anticipated in these forward-looking statements based upon a number of factors including uncertainties associated with development, testing and related regulatory approvals, competition, technological changes, anticipated future losses, complex manufacturing, high-quality requirements, dependence on limited sources of supply, government regulation, future capital needs, and other risks detailed in our SEC filings. Investors are cautioned not to place undue reliance on any forward-looking statements which speak only as of the date of today's conference call. The Company undertakes no obligation to publicly release the results of any revisions to these forward-looking statements that may be made to reflect events or circumstances that occur after the date of this conference call or to reflect the occurrence of unanticipated events. Lastly, comparative references made financially in this call to revenue, expenses, gross margin or other increases or decreases will be indicated by references to fourth quarter of fiscal 2010 as compared to the fourth quarter of fiscal 2009 or fourth quarter of fiscal 2010 as compared to the prior third quarter of fiscal 2010. I am now pleased to introduce Mike Minogue, Abiomed Chairman, President and Chief Executive Officer.
Mike Minogue: Thank you, Aimee, and good morning, everyone. Our Q4 strategy to focus on and penetrate existing Impella sites was rewarded with patient utilization growth of 109% year-over-year and 28% sequentially. We supported more Impella commercial patients this quarter than all of fiscal year 2009 combined. We believe our product enhancements and quicker setup as well as the positive reception to our US dollar registry and multiple publications were key drivers in the growth of patients supported by Impella. Abiomed today reports Q4 record US utilization of 545 patients, record US reorder revenue of $13 million, up 165%, record US and worldwide Impella revenue of $15.2 million and $16.7 million, up 67% and 49% respectively and record fourth quarter revenue of $23 million, up 17%. We achieved these results while generating cash from ongoing operations and managing our inventories. Our strong gross margins for the year reflect our operating capability as well as the value proposition offered by the therapy. Our plan last quarter to add fewer new hospitals was offset by the significant ramp in patients supported. We attained overall growth while only opening 21 new Impella 2.5 sites with a stocking order of approximately three pumps as compared to 66 hospitals opened in the prior year and sequential quarter. There are 413 of the 1000 US [hard] hospitals with Impella 2.5 technology. We continue to upgrade our Impella installed base to the quick setup kit and retrained our users. As a reminder, the upgrade process requires three days and includes additional onsite training. As of the end of Q4, approximately 95% of the US customers have been upgraded. The general feedback on the new platform is very positive and the Impella setup time has been reduced from approximately 11 minutes to two minutes. These enhancements are catalyst, driving our positive trends. Compared to just the sequential third quarter ending in December, there was a 62% increase in the number of patients done independently and a 55% increase in AMI patients. We estimate that 20% of the cases in Q4 were done independently and we believe 166 or 39% of our accounts have independent ability based on supporting five or more Impella patients. As a benchmark in Q4, one top territory had 50% independent use of Impella. Our definition of independent implantation includes phone support of follow-up help. As sites become more independent we will likely not be aware of every Impella patient and, as a result, the reorder number will be our focus. For the quarter, 63% of the utilization was reported for prophylactic hemodynamic support during high-risk PCI and 37% reported for urgent or emergent hemodynamic support such as AMI and eight other applications. In Q4 we achieved a midway point of the protective study. We completed a one-day meeting with the research coordinators at the remaining 40 plus hospitals selected by the Physician Steering committee. We have added more dedicated resources in the field and expect this quarter to be back in the 30 to 40 patient-per-quarter enrollment range. Worldwide Impella revenue for the full fiscal year 2010 totaled $58 million, up 59%, compared to revenue of $36 million in the prior year. In the US, 66% of total Impella commercial revenue for the fiscal year was from reorders, 66%, an increase of 245% compared to the prior year. Impella now represents 68% of our total company revenue with 90% coming from our focus in the US. Total company revenue for the 12 months ended March 31, 2010 was $86 million, up 17% compared to revenue of $73 million for the full fiscal year 2008. To prepare for more future growth, the second Impella production line, initially fabricated in Ireland, has been transferred to Germany and is currently functioning. Capacity has been effectively doubled with the installation of this line and the new hires. For the remainder of this call, we will look forward to discuss strategy as well as next year's goals. So, first on our strategy, we realize we could accelerate revenue by opening more accounts that include stocking order revenues. But the company's strategy is to focus on the current critical mass of 400 accounts to ensure competency and positive customer and patient experiences. We realize the other 70% of available accounts will benefit from the technology and our future expansion will reflect the balance associated with an appropriate utilization of the therapy coordinated with our resource allocation. Consistent with that approach, we will continue to expand our field organization by two to four hires per quarter which currently stands at approximately 70 sales and clinical representatives. This is our time to capitalize on the clinical need for hemodynamic support for high-risk patients to have safer revascularization, heart muscle recovery and cost effective patient care. We will be updating the US registry and present the data at the upcoming PCR meeting in Paris next week. We will also be conducting an investor analyst meeting in Boston on June 29 to have physicians present the USpella recent publications and their product enhancements in more detail. The USpella registry data and the Impella publications corroborate the clinical benefits of Impella for patients relative to survival, cardiac output, heart failure class improvements, ejection fraction improvements and cost savings. We published 15 papers in 2009 and had six Impella publications in Q4. Those papers are posted on our website. The following two publications, IABP Counterpulsation in AMI in Critical Care Medicine magazine and Comparison of Dopamine in the Treatment of Shock in the New England Journal of Medicine also reinforce our efforts to galvanize physicians to be more open to new ways to treat AMI patients. Some specific quotes from the IABP paper include, "No significant improvement in cardiac index was associated with the IABP," and "Per the inatrope study, the rate of death at 28 days was close to 50%. Dopamine was associated with more arrhythmias and with increased rate of date in cardiogenic shock and these data challenge the existing ATC and AIJ guidelines." These publications could positively influence Impella applications, which accelerates our revenue on the same product platform with many of the same users in a cath lab or EP lab. Finally, for fiscal year 2011, our corporate goals are, number one, increasing Impella utilization through expanding users, applications and independent usage. Number two, advancing the education of the science and benefits of the heart muscle recovery. Number three, maximizing the productivity of our commercial organization. Number four, driving operational excellence in product quality and customer satisfaction. In summary, fiscal year 2010 was a very successful year for the company and we have a solid cash position with no debt. Abiomed is now even better positioned for fiscal year 2011. I am thankful to the employees for their dedication, outstanding efforts and positive results and appreciative of our stakeholders for their investment and support. Abiomed remains focused on our mission of providing breakthrough heart support technologies for high-risk patients to enable safer revascularization, heart muscle recovery and cost-effective patient care. We have reached an inflection point as a company and we are excited for the future. I will now turn the call over to our CFO, Bob Bowen.
Bob Bowen: Thanks, Mike. Good morning, everyone. Before I get started, I would like to refer you to the Safe Harbor language noted at the outset of the call as well as the risk and uncertainties noted in our SEC filings, particularly our most recently filed 10-K and 10-Q. I would also like to bring to your attention to the GAAP, non-GAAP reconciliation that we provided in the earnings press release which is intended to aid investor understanding of our financial results. Mike has pretty much covered many of the revenue highlights, so I am going to focus on providing a little more detail on the P&L and cash generation and move to guidance for fiscal year 2011. Gross margin percent for the quarter was 72.8% compared to 71.9% in the year-ago period. In the fourth quarter of fiscal 2010, as noted in the GAAP to non-GAAP reconciliation provided in today's press release, we recorded $711,000 of excess or obsolete inventory reserves related to non-Impella products, principally AbioCor and our intra-aortic balloon. We do not anticipate additional excess or obsolete inventory reserves for either the AbioCor or the balloon and, excluding these reserves, our non-GAAP gross margin percent for the fourth fiscal quarter was 75.9% or two points higher than the GAAP gross margin rate. R&D expenses of $6.7 million compared to $7.1 million in the prior year. Our R&D expenses are largely focused on the Impella platform, the Protect II clinical trial, the USpella registry and other clinical study efforts. Our core R&D expense totaled $4.8 million in the fourth quarter of fiscal 2010 compared to $4.5 million in the year-ago period with the increase largely due to timing of project expenditures. Clinical trial expense including Protect II, the USpella and other clinical study efforts in Q4 fiscal '10 was $2.1 million compared to $2.4 million in the prior year. The remainder of our R&D expense is stock option expense, which in Q4 fiscal '10 was a credit of $0.2 million due to a catch-up adjustment related to prior period accruals for fiscal 2011 equity grant performance milestones that we do not currently expect to meet. The comparable stock based compensation on that in a year-ago period was $0.3 million expense. The stock compensation expense is noted in the GAAP to non-GAAP reconciliation provided in today's press release. Selling, general and administrative costs of $15.7 million compared to $14.7 million in the prior year. The increase was more than accounted for by the expansion of our US commercial organization in support of the Impella launch. Included in the Q4 expense of $15.7 million was a one-time charge of $1 million related to the estimated cost to exit our affluent Ireland facility lease. Also included in the $15.7 million expense is a credit in stock compensation expense of $0.5 million due to a catch-up adjustment related to prior-period accruals for equity grant performance milestones that we currently do not expect to meet. In the year-ago period, stock compensation expense in SG&A was $1.4 million. The affluent charge and stock compensation catch-up adjustment are both noted in the GAAP to non-GAAP reconciliation provided in today's press release. In total, operating expenses for Q4 were $22.8 million, including a total stock compensation credit of $0.7 million and an affluent charge of $1 million compared to operating expenses in the prior year of $22.3 million, including a stock compensation charge of $1.7 million. Also, as noted in our earnings release, we sold $6.5 million of world heart stock with a book value that we had previously written down to zero value and the book gain on the sale of $6.4 million is noted in the other income and expense category. The GAAP net income for Q4 was $0.2 million or $0.01 per share compared to last year's GAAP net loss of $8.5 million and the GAAP per share loss of $0.23 per share. The non-GAAP net loss for Q4 fiscal '10, as defined in our press release was $4.8 million or $0.13 per share compared to a non-GAAP net loss in the prior year flat $0.09 million or a loss of $0.16 per share. Turning to the balance sheet, in Q4 we achieved a major milestone for Abiomed. That was generating an increase on our cash position of $0.2 million excluding the proceeds from the sale of World Heart stock. We continue to do a very effective job managing our inventory and accounts receivable balances. Inventory as a percent of quarterly revenue was 40% this quarter compared to 76% in the prior year. Accounts receivable as a percent of quarterly revenues were 59% compared to 80% in the prior year. We have sold most of our World Heart holdings and have approximately 188,000 shares remaining, which at current market prices has a value of approximately $500,000. To date we have proceeds from the sale of World Heart stock of $6.7 million plus 188,000 shares remaining on an original investment of $5 million. We ended fiscal Q4 with cash, cash equivalents and short-term marketable securities of $58.3 million. The comparable cash equivalent and short-term marketable security position at December 31, 2009 was $51.7 million. The total change during the quarter was a generation of $6.6 million, $6.4 million of which was due to World Heart stock sales and $0.2 million the result of all other business activities. This was a major milestone for Abiomed. Our cash burn in Q2 fiscal '10 was $2.2 million, in Q3 fiscal '10 was $0.6 million and in the most recent quarter, excluding the World Heart proceeds was a generation of $0.2 million. Turning to guidance, as indicated in our earnings release, revenue guidance for fiscal 2011 is in the range of $93 million to $95 million. We expect to see continued strong growth of the Impella platform of approximately 25% to 30% of the fiscal 2010 level of $57.8 million. We believe that most of this growth will be patient utilization driven in the US. Our current plan for at leas the next couple of quarters is to continue the strategy adopted in the fourth quarter of fiscal 2010 with fewer site openings and a strong focus on patient utilization. This will result in some revenue growth headwinds as the expectation is that the site opening revenues in fiscal 2011 will be meaningfully lower than in fiscal 2010. With regard to Impella patients, as noted in today's press release, we had sequential growth in patients during fiscal 2010 of plus 80 patients in Q1 fiscal 2010, minus three in Q2, plus 87 in Q3 and in Q4 it was plus 120. The average per-quarter increase was approximately 71 and we do expect improvement off that average but we have not embedded in our guidance the significant uptick in Q4 versus Q3 of 120 because at this stage it is only one data point. This week we have our full field team in for a week of training and education. It is also worth noting that we have refocused in Europe and reduced our commercial reach during fiscal 2010 with the primary objectives of clinical studies and publications. In addition, we have relaunched the new Impella platform and quick setup kit at higher price points for the remaining commercial activities. We do not have clear visibility at this point but our current expectations are that growth in Europe will be, at best, flat. As Mike previously mentioned, we will be attending PCR next week and updating USpella registry data. Also, as noted in our earnings release, we anticipate that our fiscal year 2011 worldwide legacy non-Impella revenue will be approximately 25% to 30% lower than the fiscal 2010 level of $27.9 million as a result of maintaining our focus on the Impella platform in the cath lab. It is likely that some portion of our legacy business will be cannibalized by the Impella platform. Although we do not provide specific earnings or quarterly guidance, in order to aid investors in developing their models, it is likely helpful to advise that our current plan is to improve fiscal 2011 operating leverage and to continue our progress toward cash flow and GAAP break even. Our total operating expenses were on average $22.3 million per quarter during fiscal 2010 and we believe that that is likely to track up to approximately $23 million per quarter during fiscal 2011. We don't see any significant change in our R&D spend. Any incremental expenses will be focused on the continued support of the US commercial operation. Lastly, please note that we anticipate that the summer quarter, which is our second fiscal quarter, will have the lowest overall revenues due generally to lower scheduled procedure volume as a result of vacations in the both the USA and Europe. We will now open up the call to questions. Operator?
Operator: (Operator Instructions) Your first question comes from the line of Greg Simpson - Stifel Nicolaus.
Greg Simpson - Stifel Nicolaus: Mike, can I start with guidance because that's probably the thing that's going to stick out to people? If I do the numbers it looks like the Impella guidance you're suggesting for the year is in line maybe a little better than my existing estimate even though the overall revenue guidance for the year is below consensus. Given the strong trends you saw, especially in Q4 and your suggesting an uptick in trial enrollment or a re-uptick, if you will, can you maybe just give some commentary to that? I'm trying to figure out how conservative you're trying to be on that overall guidance and what that suggests in terms of the number of new center openings. We saw 21, which is obviously less than I think a lot of people were expecting. So I'm what that suggests for new center openings in 2011.
Mike Minogue: Well, Greg, I think Bob laid it out in a lot of detail. But just again, to reiterate at a high level, is we think our strategy in Europe is really on publications and studies that we're doing over there. In regard to outside the world, we're trying to prudent back a little bit of distributors that have not had the infrastructure or the clinical support structure required. Then with the United States we're really, again, trying to go deeper, focus on these applications, focus on more training. If you look at the run rate in Q4 of 21 openings, that's what we're going to try to keep it at. Over time we'll continue to add as things grow. With regard to the clinical trial, it's kind of an immaterial quarterly revenue number, so that really doesn't play a big impact to it. I think we are being prudent in the way we're looking at the business because we, again, want to put a big focus on these patient outcomes and great experiences with our users.
Greg Simpson - Stifel Nicolaus: Then, if I could ask a question on -- you gave the metrics, so with respect to the break down in usage and I was especially interested in the AMI as I know others are. I don’t expect specific numbers but if you look at your user base I'm curious if there's any commentary you can give us with respect to trends of your more experienced user as it relates to AMI procedures or even just emergent overall if you want to be a little more general.
Mike Minogue: Sure, so there are lots of trends. At the PCR meeting and also at the investor day we're going to go into more detail but we've noticed, as I mentioned, we had a 62% increase in independent use and we had a 55% increase in AMI, this Q4 versus Q3. We've also seen a trend faster time going from independent usage from the start of the order to getting purchased and then to getting independent, so that's increasing. Again, if you don't have independence you really struggle with trying to treat AMI patients because a lot of times these are happening at off hours over the weekends and we can't be there. But we are, again -- you see in the numbers. Thee was a 55% increase and, again, it's at these more experienced centers.
Greg Simpson - Stifel Nicolaus: If I can ask just one more follow-up on that topic, obviously there was a big positive that comes from getting these accounts to independent usage. As you kind of look at your 2011 based on your user base, what's kind of the right number for us to think? What percentage of your users could be independent by 2011? What's reasonable for us to think about?
Mike Minogue: Well, I mean, Greg, what we said was that about 20% were truly independent cases this quarter. We think up to 40% have the ability total because if they've done more than five they should have that ability. We gave a benchmark, one territory had 50% independence. As long as we have the resources and we're there, we'll use these sites as training centers for other physicians at the site. So even if the physician is independent we may still be there to train another two or three doctors. That’s, again, part of the focus this year and corporate goal number one is we're trying to expand the number of users. So we'll still be at certain independent sites if it means that we're going to be helping to drive the training of a new physician.
Operator: Your next question comes from the line of Cynthia Yi - Piper Jaffray.
Tim Lee - Piper Jaffray: It's Tim. Just a couple of questions here; first, in terms of your clinical efforts to garner specific labeling for urgent hemodynamic support, anything new on that front?
Mike Minogue: There's nothing new with regard to the guidelines, Tim. In order to get into the guidelines you need publications and potentially randomized studies. So what we're building is a case, that I mentioned, between the US teleregistery and all the different applications. We're continuing to see very consistent positive trends relative to improvements in both ejection fractions, survival. We're seeing improvements in class failure categories where patients are moving up one class after treatment, whether it's a high-risk CCI or AMI with Impella. We're going to continue to publish and build that document. On the other side, with relative terms of today's standard of care, which includes inatropes and the intra-aortic balloon pump, as I mentioned, there's several papers that continue to come out that show no benefit in mortality with the balloon pump, very little increase in their cardiac output. On the inatropes we continue to show an increase in mortality, an increase in arrhythmias. Remember, when you have an arrhythmia it changes the timing of the hear which makes it even more difficult for a balloon pump to work because it has to have perfect timing. So I think as we publish more and as there's more of a focus on today's standard with the balloon and inatropes we feel confident that we're making progress.
Tim Lee - Piper Jaffray: In terms of getting into the guidelines, I mean, how large does the clinical body of evidence need to be? I mean, is it 500 patients in Uspella? Is it 10 published papers? Can you give us a sense of what that threshold may be?
Mike Minogue: Well, I don't think they have a set number of a threshold. I think it has to do with the quality of what you have, not necessarily quantity. But today, if you look at the guidelines for the balloon pump it's based on one study which was the shock trial primarily. The shock trial was inconclusive and, in fact, both arms, 80% had a balloon pump. So that is what was used as the primary guide point and clearly we're going to have more than that and that's the whole point of collecting our registry.
Tim Lee - Piper Jaffray: Two quick financial questions, just in terms of case used, I mean, congratulations on your positive quarter here in Q4. But how should we think about cash use in fiscal '11? Second, in terms of the cadence of revenue growth, I appreciate you telling us that the summer months would be slow. It sounds like you've got a sales meeting here coming up with your field sales force out for a week as well, so should we consider some softness in Q1 as well?
Bob Bowen: Yes, I think the sales force being out is likely to have an affect on the first quarter as well as our attendance at PCR. The first quarter cash is normally our worst quarter because it's the quarter in which we pay our annual incentive compensation bonuses. So I would expect Q1 to be -- and that number is in the $3 million to $3.5 million range. Subsequent to that, I think we'll continue on our march. I can't tell you that every quarter is going to be positive but we're certainly trying to move in that direction.
Operator: Your next question comes from the line of David Lewis - Morgan Stanley.
[James] - Morgan Stanley: This is actually [James] in for David. So, Mike, looking at the clinical versus commercial utilization we're increasingly seeing a divergence in growth trends there and I was just wondering given the very strong results on the commercial side this quarter, why do you think we're not seeing enrollment trends that are more favorable and how do you get visibility on acceleration there?
Mike Minogue: So, [James], what we had said is that we think we're going to get back into the 30 to 40 patients per quarter range, which would signify and increase over the last two quarters. The reason we have some visibility there is over the last two quarters we've been going through with the Steering committee of our physicians and defining which centers will remain in the study so that we can add more resources to give them better hands-on support. So based on what we're seeing, we believe we've selected the right centers that are motivated to finish this study and the visibility comes from me having a face-to-face meeting with them and talking with our Steering committee on moving the study forward.
[James] - Morgan Stanley: Then if I look at guidance -- .
Mike Minogue: One last point on that, [James], is obviously the more successful we are commercially and the more users per site it does make it a little more challenging for PIs in the study to get access to those patients as well as other centers referring patients to the trial sites.
[James] - Morgan Stanley: Then if I look at guidance for US commercial Impella growth next year, obviously that incorporates very strong growth in reorder revenues offset by declining stocking revenues. Given that you're going to be focusing on reorder revenue as the most relevant metric for the business going forward, give us a little more clarity on what you're expecting there. If I just assume that your rate of new center openings and the revenue associated with that stays flat from this quarter, I'm coming up with more than 60% growth in commercial reorders. Is there anything wrong in how I’m thinking about that?
Bob Bowen: I don't think there's anything fundamentally wrong with how you're thinking about that. The new site openings could tick up a little bit from Q4 but that's -- basically you have the math.
[James] - Morgan Stanley: Bob, I know you haven't given guidance on this point but I was wondering directionally how should we expect profitability to trend in fiscal '11? Maybe you could walk us through -- well, I guess, given the mix shift in the business we do expect to see a pretty favorable trend in gross margin. Maybe you could walk us through some of the major headwinds and tailwinds next year.
Bob Bowen: Well, as I indicated in my remarks, the gross margin rate in Q4 was weighed down by the inventory reserves that we took. So we would expect to see improved gross margins in fiscal 2011, probably not unlike what we saw in Q4 on a non-GAAP basis. I talked about the operating expenses and so I think as our revenues grow through, particularly in the second half of the year, we would continue our march toward cash flow break even.
Operator: Your next question comes from the line of [Eli Coburn] - Bank of America Merrill Lynch.
[Eli Coburn] - Bank of American Merrill Lynch: Mike, could you just give us a little more details on how the timeline for the interim analysis for the study would work?
Mike Minogue: So the interim analysis is a 30 day for the primary and a three-month for the secondary follow up. It's likely to occur this summer by the time they've collected all the data and submitted through the DSMB. Our forecast for completion on the enrollment is at the very beginning of calendar year 2012.
[Eli Coburn] - Bank of American Merrill Lynch: So when can we see or likely hear something from the interim analysis? That wasn't clear to me.
Mike Minogue: It's essentially the summer to the September, October range as far as hearing an update of whether or not the guidance is to move forward or expand patients or statistically either stop it for one of the other reasons.
[Eli Coburn] - Bank of American Merrill Lynch: Just on ASPs in the quarter, was there any change there for Impella?
Bob Bowen: No, there's no material change in ASPs.
Operator: Your next question comes from the line of Josh Jennings - Jefferies & Company.
Josh Jennings - Jefferies & Company: Just a follow-up on the pricing question, expectations for fiscal 2011 on pricing, do you expect stability? Do you expect any uptick or down tick?
Bob Bowen: We expect stability through fiscal 2011. Reimbursement rates have been resolved for the next 18 months or so, so we don't see any change of pricing.
Josh Jennings - Jefferies & Company: Just as a mix between the 2.5 and 5.0 in the quarter, is that helping pricing as if you're having an increase in the utilization of the 5.0?
Bob Bowen: Yes, I don't think -- the change in mix is not dramatically influencing the change in the average price quarter to quarter. So the mix change -- there's no real substantive mix change.
Josh Jennings - Jefferies & Company: In terms of utilization per center this quarter, was that up about 1.3? How do you feel that number as a run rate for 2011 or should this continue to increase sequentially going forward?
Bob Bowen: Well, I think the underlying rational of our guidance and the focus on patients in the US as opposed to site openings is going to cause that number to tick up as we move through the year.
Josh Jennings - Jefferies & Company: Just on -- anything on the competitive landscape that we should be focusing on, any other devices out there like the [tantum] heart or the [rate 10 catheter] pump that you're seeing in the field or is there any concerns on the competitive landscape?
Mike Minogue: Josh, we're always concerned and looking at what other technology is out there. But as of now there's nothing that we're concerned with in the short term.
Operator: Your next question comes from the line of Greg Simpson - Stifel Nicolaus.
Greg Simpson - Stifel Nicolaus: Bob, first of all, just a simple math question, could you give the average procedures per week? I just want to make sure I’m using the right number.
Bob Bowen: Yes, divide 545 by 13, so 42.
Greg Simpson - Stifel Nicolaus: Then, Mike, a question for you on the efforts to boost the utilization -- can you just maybe talk about, without giving anything away competitively, obviously, what your guys do in the existing centers to help boost utilization? But I’m also interested in how much the focus is on training additional doctors at those existing sites.
Mike Minogue: I think it's all of the above, Greg. We have somewhat of a formula that you're there for hands on, you get them to independence as well as you're having them proctor other users. We really leverage off of their experiences and actual patients, so we find that we get immediate advocates when they see something go wrong and the Impella maintains the diastolic pressure and allows them to complete a successful revascularization. We're doing lots of rounds and publications at the different meetings and then we really like to update the community with the publications specific to applications. As that happens we start to see an uptick across the country on certain specific procedures. So, for example, last quarter we had an EP publication and we've had a couple more that have come out. Since that time we've had several EP cases done around the country as well as we were participants at the EP show recently in Denver and there is a lot of interest in using Impella for additional hemodynamic support for a very high-risk, low ejection fraction patient.
Greg Simpson - Stifel Nicolaus: Is there any reason, again based on your experience at existing centers, as you update the registry, the introduction quick setup guide and as more doctors gain hands on experience with the device -- I’m using the assumption of two doctors training per center. Is there any reason that number doesn't go up nicely during 2011? I realize it varies greatly among centers but is there any reason we don't see that trend increase or that number increase?
Mike Minogue: Well, our number one goal, the first sentence is increasing Impella utilization through expanding users, so absolutely that is what we're focused on. Getting more users and then once they're trained they can move on to these urgent or emerging applications and then that is the entire focus of our first goal for that company.
Operator: (Operator Instructions) We have no further audio questions. I will now turn the call back over to Mike Minogue for any closing remarks.
Mike Minogue: Well, thank you, everyone, for your time and your support this year and we look forward to seeing some of you at PCR and we hope all of you can attend our analyst investor meeting end of June in Boston. Take care.